Operator: Good day, ladies and gentlemen, and welcome to your Q3 2013 Entropic Inc. Earnings Conference Call. My name is Dalou, and I will be your operator today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Ms. Debbie Hart. Please proceed, ma'am.
Debra Hart: Thank you, Dalou, and good afternoon, everyone. Participating on today's call are Patrick Henry, President and CEO; and Dave Lyle, our Chief Financial Officer. During the call, Patrick and Dave will present our third quarter 2013 results and our outlook, and then we'll open it up for questions. Throughout this call, we will be discussing certain non-GAAP financial measures. Today's earnings release and the related report on Form 8-K describe the differences between our non-GAAP and GAAP reporting and present a reconciliation between the 2 for the periods reported in the release. We have also posted a schedule on the Investors section of our website, which includes our quarterly reconciliation of our GAAP to non-GAAP gross margins, operating expenses and taxes. During this conference call, we will make forward-looking statements regarding future events and anticipated operating or financial results of the company. Actual events or results could differ materially from those projected in these forward-looking statements. Please refer to our SEC filings, including our most recent 10-Q, which contain important factors that could cause actual results to differ materially from the forward-looking statements. We undertake no obligation to revise or update publicly any forward-looking statement to reflect future events or circumstances. And now, I'll turn the call over to Patrick Henry.
Patrick C. Henry: Thank you, Debbie, and thanks to everyone for joining the call today. Our Q3 revenue is $56.4 million resulting in a net loss per share of $0.06. Dave will take us through the Q3 numbers in more detail and discuss guidance for Q4 later in the call. First, I'd like to begin by providing a general update on our business and our long-range strategy and objectives. Entropic is a leader in silicon software for the connected home entertainment market. We are recognized for inventing MoCA, the enabling technology for home networking of digital entertainment. MoCA is now the de facto industry standard and deployed by nearly all the major pay-TV service providers in the U.S., including Tier 1 operators such as Comcast, Cox, DIRECTV, DISH Network, Time Warner and Verizon. MoCA is also starting to gain traction in international markets, including Europe and South America, where Liberty Global and DIRECTV Latin America, respectively, have begun to deploy MoCA. We also invented the single-wire Outdoor Unit, or ODU technology, which simplifies installation of satellite TV service. Our satellite outdoor unit solutions are an important complementary technology for our satellite service provider end customers as they transition their in-home networks to IP video delivery and to gateway/client architectures. Key end customers for our ODU single-cable solutions include Claro TV, DIRECTV, DISH Network and SKY Italia. We are also an innovator and market leader in the emerging broadband access business over passive cable, also known as EoC, or Ethernet-over-Coax, primarily in China. In 2011, Entropic maintained the dominant position in both the MoCA and DBS ODU market. Today, however, about 70% of the MoCA market is sold into set-top box products where integration of MoCA into the set-top box system-on-a-chip, or SoC, is becoming critically important. In addition, the DBS ODU market is expected to transition from analog to digital CSS solutions over the coming years. At Entropic, we consistently seek to drive long-term earnings growth and shareholder value through the prudent execution of our capital allocation strategy and through opportunistic M&A. In addition, we are always looking for opportunities to be more competitive. In 2011, in response to a changing industry environment and recognizing the emergence of MoCA integration into set-top box SoCs, we determined to pursue a strategic acquisition to regain MoCA market share and expand our overall market opportunity. We developed a framework for our transformation that would position Entropic for long-term success and profitability. We've had both successes and challenges as we've worked to implement this plan over the last 2 years. So I want to take this opportunity to talk about the strategy we developed and where we stand today in the overall transformation of Entropic. In early 2012, we executed the transformational acquisition of the set-top box SoC assets from Trident Microsystems. Trident was one of the few companies that had field-proven set-top box SoC solutions in the U.S. and in international set-top box markets. They're recognized as the #3 player globally and the #2 player in the U.S. in the set-top box SoC market. In many cases, Trident set-top box SoCs were sold alongside Entropic's MoCA solutions. In fact, we had collaborated with Trident on joint reference designs, product road maps and had won key designs with them in set-top box and DVR products. Our OEM customers and pay-TV service provider partners encouraged us to find a way to put our technologies together on a single, integrated platform or risk being shut out of the set-top box market with our MoCA solutions. We saw the set-top box SoC assets of Trident as a strong complementary fit for our organization as we had significant channel and product synergies, and our management team had historic expertise in the broader set-top box SoC market. Once the acquisition was complete, we created an SoC and MoCA bundling strategy that would allow us to sell the acquired SoCs with our discrete MoCA chips, while focusing on developing and commercializing our integrated products. The set-top box SoC technology, intellectual property, patents and core competencies we gained from Trident are helping us to better monetize our investment in MoCA, and just as importantly, we are now able to serve a much larger addressable market. In 2011, Entropic's revenue was just over $240 million and was estimated to be about a $300 million market. Today, we're serving a market that is estimated to be $1.6 billion with potential to grow to $2.3 billion by 2016. Since 2011, we also completed 2 smaller technology tuck-in acquisitions: PLX's digital CSS product line and Mobius Semiconductor. With these 2 relatively modest transactions, we extended our product road map in the global DBS ODU market, which is transitioning from analog to digital CSS. We also significantly strengthened our technical capabilities in high-speed analog, including Full-Band Capture solutions. In addition, we added high performance analog expertise that supports our core markets, and we now have the capabilities for more differentiated products in our expanding market. The synergies between all of our products are significant. SoCs, MoCA, DBS ODU and broadband access products all require similar technology competencies, and in many cases, they address the same OEM direct customers and pay-TV service provider end customers. Entropic is a pure-play in connected home entertainment and, while we remain focused on the connected home, we are now able to address a much larger footprint in this market with differentiated products. So where are we today in the transformation? At the time of the Trident acquisition, we believe the revenue contribution from SoCs for high-definition digital transport adapters, or HD-DTAs, would significantly offset anticipated revenue declines from legacy set-top box SoC products until our new design wins could begin to ramp. We did not expect HD-DTA deployments to slow in production as they have over the last several quarters. Additionally, as we noted on the last call, we are not getting the material ramp in new design wins due to current service provider delays and new product deployments. As a result, top line revenue has not yet reached the performance levels we initially anticipated. However, we remain confident that both HD-DTAs and new platform wins like the X1, X2 products at Comcast will ramp throughout 2014. When we made the Trident acquisition, we knew that we would need to rebuild our MoCA share in the set-top box market due to designs lost to SoCs with integrated MoCA. Trident encountered the same issues as Entropic because it did not have MoCA technology integrated into its SoC set-top box SoCs. Trident also faced other business challenges and circumstances related to focus and scale. While it takes time to see the results at the top line, we remain confident that the combination of Entropic and Trident substantially addresses these issues. The erosion in the legacy set-top box SoC products, the one we acquired from Trident, is tracking to our expectations. However, as we discussed on the last call, the market loss -- the market share loss we experienced in MoCA is somewhat greater than we anticipated due to the broader deployment of the Genie platform at DIRECTV. Two aspects of the transformation we're performing very well are new product development and design wins. We've been making significant progress towards our long-term goals by developing new products, including integrated SoC plus MoCA products that will drive revenue through 2015 and winning key Tier 1 design wins with our bundled solutions that will begin to ramp in the first half of 2014. We have strong relationships with our OEM customers and are seen as a trusted advisor to major pay-TV service providers across the cable, satellite and telco segments, both in the U.S. and globally. This provides significant channel synergies for Entropic across our product line. On the product development front, we've completed development of 3 new 40-nanometer SoC products, some that were started by Trident prior to the acquisition. Those products are now commercialized, and we've already won bundled MoCA design wins with that product line. On the integrated product development front, our latest 28-nanometer integrated set-top box SoCs with MoCA 2, HEVC and Full-Band Capture capabilities will sample to end customers around the end of this year. This initial product will serve as a platform that will drive additional derivative products to address the growing market opportunities in both cable and satellite in North America and globally. This road map consists of highly competitive, cost-effective and power-efficient products, and we expect to have a portfolio of HD and ultra-HD integrated products by the end of 2014, all leveraged from this first 28-nanometer platform. Our compelling product road map, deep portfolio of products and complete software solutions give our OEM customers and pay-TV service provider partners confidence in our ability to be a key supplier in this market. They've rewarded our efforts, even ahead of integrated products, by awarding key design wins for our bundled solutions. On the design win front, we announced several key designs at Comcast for their X1, X2 platforms and have a number of other high-volume design wins with our bundled solutions at other Tier 1 operators. Although we cannot disclose the details of these design wins today, we do expect they will launch in the second half of 2014 and continue to contribute materially to revenue throughout 2015. In our MoCA discrete business, we recently announced a new design win with Actiontec, and ARRIS is expanding its top dealer Motorola SURFboard product line to include our MoCA home networking products. The new cable modem and MoCA adapters, based on Entropic's technology, are currently available at Best Buy and Target stores nationwide. We continue to see strategic design win activity with our analog CSS silicon, including wins with SKY Italia, Canal Digital and a leading Brazilian DBS operator. And finally, our broadband access solutions continue to gain momentum in China. We recently announced a Chinese set-top box maker, Sichuan Jiuzhou Electronic Technology Co., is integrating our c.LINK EoC technology into its next-generation HD set-top boxes. We continue to drive innovation across our core business while we transform the company. The delivery, connection and consumption of multimedia content into and throughout the home is in our DNA, and we have core competencies and expertise in marketing, engineering and operations in this space. As such, the acquisitions of Trident, PLX and Mobius were natural, logical stepping-stones in the evolution of the company. Before I turn the call over to Dave, I want to provide a quick update on where we're at with the integration of these acquisitions. The integration of the business and engineering operations we acquired from Trident, PLX and Mobius have been substantially complete for some time. The last steps of this business integration were efficiency improvements and a reduction in force that we announced last quarter, including some site consolidations. We are currently investing at the minimum levels necessary to take advantage of this market opportunity. Revenue growth, which will be driven by new products and design wins, will allow us to grow into our long-term operating model over the next couple of years. Organizationally, we recently added Matt Rhodes, an industry veteran with significant domain expertise, as Senior Vice President of Marketing. Matt is a strong complement to our management team, which is already focused on getting new products out and winning new designs, and we feel we're on track on both of these fronts. Now Dave will review the third quarter results, provide our Q4 outlook and some 2014 commentary, and then I'll make some closing remarks. Dave?
David Lyle: Thanks, Patrick. Third quarter revenue was $56.4 million, a 20% sequential decline, which was consistent with the guidance we gave last quarter. As we indicated in our last earnings call, for the third quarter, we anticipated softness in SoCs for HD-DTAs, softness in MoCA adapters at DIRECTV and short-term inventory issues at DIRECTV, which resulted in a revenue decline for both CSS and MoCA. Together, these factors created a revenue drop for us in Q3. We had 2 customers who accounted for greater than 10% of our revenue during the quarter: Foxconn, a subcontractor for Cisco and Motorola, at 23%; and WNC, a supplier into DIRECTV, at 21%. Our non-GAAP gross margin in Q3 was 53.5%, 150 basis points higher than in Q2 due to a product mix shift towards our connectivity products. Excluded from Q3 non-GAAP gross margin was about $200,000 of stock-based compensation expense, and $2.4 million of amortization of purchased intangibles. Non-GAAP operating expense in Q3 was $36 million, flat with Q2. Our Q3 non-GAAP operating expense excluded $4.4 million of stock-based compensation expense and $400,000 of amortization of purchased intangibles. Other income was about $500,000 for the quarter. Our third quarter non-GAAP tax expense was $200,000, and our GAAP tax rate was negative 7%. Q3 non-GAAP net loss was about $5.6 million, resulting in a net loss per share of about $0.06, based on a basic share count of about 91 million shares. GAAP net loss in the third quarter was about $12 million, and GAAP loss per share was $0.13. With regard to our cash position, cash and investments were about $161 million, a net cash decline of about $5 million at the end of Q3. During the quarter, cash used in our business operations was $3.4 million. DSOs for the third quarter came in at 67 days. Inventory turns remained strong at about 7x. Now I'd like to provide guidance for the fourth quarter of 2013. In Q4, we expect Entropic's top line revenue to be $57 million to $59 million, a 3% sequential increase at the midpoint. We are seeing revenue improvement primarily in 2 fronts: resolution of excess inventory issues at DIRECTV that primarily impacted our DBS ODU products in Q3, and an earlier-than-expected restart to set-top box SoC revenue in HD-DTAs for one U.S. Cable MSO, where we had previously seen delays due to capital expenditure budget constraints. Offsetting some of this revenue growth is continued erosion of revenue from legacy products we acquired from Trident, as well as market share erosion in MoCA discrete from the final conversion of traditional broadcast set-top boxes to next-generation hybrid and IP set-top box devices, which are now shifting to integrated SoC plus MoCA solutions. Moving on to gross margin. We expect non-GAAP gross margin for Q4 to be in the range of 52% to 53%, as our product mix will favor our set-top box SoC business. We will exclude from Q4 non-GAAP gross margin about $200,000 in stock-based compensation expense and $2.7 million in amortization of purchased intangibles. We expect Q4 non-GAAP operating expense to be approximately $36 million, flat with Q3. Our non-GAAP operating expense will exclude $4.8 million of stock-based compensation expense and $400,000 of amortization of purchased intangibles. We expect other income to be about $300,000, and we expect our non-GAAP tax expense in Q4 to be about $200,000, and our GAAP tax expense to be a benefit of about $600,000. At the midpoint of guidance, we expect a non-GAAP loss per share of $0.06 based on a basic share count of about 91 million shares. Our GAAP loss per share is expected to be $0.14. We expect our cash and investments balance at the end of the fourth quarter to decline sequentially, dependent on the size of share repurchases, which Patrick will discuss in a moment, as well as an expected cash use from operations and capital expenditures of about $5 million. We expect DSOs to decrease to about 60 days, and we expect inventory turns to be 7.5x in Q4. Looking out into next year, I want to discuss how we believe 2014 could play out for Entropic. There are several factors that will impact our revenue. First is the ramp of the Xi3 IP-Client set-top box, the video gateway and the data voice gateway into Comcast's X1, X2 platform. We believe Comcast will launch in at least one major U.S. market in the first half of 2014 and begin to expand into their nationwide footprint in the second half of the year, following the typical service provider launch behavior of go slow before going fast. The Comcast launches of these devices into its first large market will be a key milestone to watch for in 2014. Our confidence in a first half of 2014 deployment launch has increased substantially, as we have now begun to ship small quantities of product into the video gateway device, which is the cornerstone technology in the IP video service home. In addition, we could see incremental revenue growth if demand for our SoCs for Comcast HD-DTA devices begin to ramp again in the second half of next year. Second, although we cannot announce specific design wins until our customers allow that information to be made public, I can tell you that we have now won several design wins with our bundled SoC and MoCA discrete products in key cable and satellite service providers. Based on current service provider launch targets, we expect to see initial shipments of product into these devices in the second half of 2014. We believe these service providers will follow the same launch behavior of go slow before going fast by launching in at least one major market before going into broader deployments in subsequent quarters. So key milestones to watch for in the second half of 2014 are service provider launches into at least one big market by multiple service providers. And third, we expect to see seasonal softness, which typically runs at about 10% sequential decline across our current run rate products in the first half of 2014. So some of the incremental revenue growth I just discussed will be partially offset by this pressure. We do have some incremental revenue opportunities internationally in SoC, CSS and broadband access in the second half of next year, but those are small contributors relative to the ones I just described. On the operating expense front, in the first half of 2014, our OpEx will run higher than recent quarters due to tapeout related expense. As many of our first integrated products and next-generation connectivity products have been in development on leading-edge process node 28-nanometer, where tapeouts cost more than $2 million each, we will see several nonrecurring tapeout expenses back up in the first half of next year. We will provide an update on progress on that front in the next earnings call. Now I'll turn it back to Patrick for some closing remarks.
Patrick C. Henry: Thanks, Dave. Before we open the call for your questions, I'd like to touch upon the $30 million share repurchase program that our Board of Directors recently approved. First, the details. The share repurchase program is structured so that Entropic, at its discretion, may purchase in the open market or privately negotiated transactions. Share repurchases may occur beginning October 31, 2013, through September 30, 2014. The number of shares repurchased will depend upon the purchase price of the stock. The stock buyback also has parameters regarding price and volume, which will be incorporated into a 10b5-1 plan to allow program stock purchases to occur automatically during the repurchase period. In making the decision to authorize the repurchase program, the board reviewed a number of factors and determined that $30 million struck the right balance between returning capital to our shareholders, and maintaining a strong balance sheet for future business investments and a sign of strength for our customers. The board is confident in and stands fully behind the company's long-term strategy. The board shares our belief that Entropic is strongly positioned to be a key global supplier for the MoCA-enabled set-top box market and that, with all the technology and capabilities added to Entropic over the past 2 years, we are ideally suited to optimize the connected home entertainment experience to ensure the delivery, connection and secure consumption of multimedia content into and throughout the home and drive significant value for our shareholders. Today, Entropic has a complete and compelling product line and road map. And we're strongly positioned to not only grow with the market, but also to grow our share in the market -- the markets we're targeting. As service providers move their home entertainment networks to IP, they need a cost-effective IP client with a high level of security, which Entropic's SoC product road map provides. This transition to IP further validates the need for a robust wired backbone using MoCA and the need for single wire architectures for satellite broadcasts using our CSS technologies. As a key supplier of platform semiconductors focused on the connected home, we have a unique opportunity to capitalize in this market that is large and growing. Our mission and the DNA of our company has remained unchanged throughout the transformation over the last 2 years. We are focused on optimizing the connected home entertainment experience and believe we have implemented the right strategy to develop differentiated product road map, address core operator needs and produce high-volume design wins. I want to reiterate that our focus, as always, is on driving long-term growth and enhancing value for our stockholders. We are committed to successfully completing the transformation of Entropic, and I look forward to reporting on our continued progress in the quarters ahead. This concludes our prepared remarks. Now Dave and I will take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Sur, Harlan of JPMorgan.
Harlan Sur: Good to see some of the re-acceleration in the business here in Q4. I know that -- I think, Dave, you mentioned seasonality impacts in the first half of next year. And I know visibility at this time is always tough. But given some of the tailwinds in Q4, you mentioned the X1 and X2 ramps in the first half of next year. Typically, Q1 has a little bit less seasonality than Q2. Would some of these drivers be able to maybe drive continued quarter-on-quarter growth in Q1 and then we see kind of the normal seasonal drop-off in Q2?
David Lyle: Harlan, I'll take that. It's Dave. We don't guide more than one quarter out. But I think you're right. It's high -- growth into Q1 is highly dependent on the timing and size of the Comcast deployments. That can clearly be a revenue driver, albeit it'll be smaller in the first half before it really starts ramping in the second half. But typically our -- we get softness both in Q1 and Q2 because the end customers on cable and satellite are softer during those quarters by about 10%.
Harlan Sur: Got it. Okay. And then, obviously, it's good to see that one of your HD-DTA customers is coming back. And again, it seems like you guys have some incremental confidence about the X1, X2 platform ramp. Are you starting to get more visibility, either forecast visibility or maybe some order visibility that gives you indications that this ramp will, in fact, commence in the first half of next year?
Patrick C. Henry: Yes. I mean, we're already getting orders for the gateway. So that's in trials. It's expected to launch in the first quarter, probably again, initially, in a smaller market opportunity and then ramp from there. That'll be followed by the video or the data voice gateways, as well as the client devices. So Comcast is already pushing pretty hard with the existing kind of higher-cost, less-integrated platforms that are being deployed right now. And there's a desire to move to these more cost-efficient, power-efficient designs that are based on our silicon that are going into production. So feeling good about it. They definitely continue to be very aggressive with the overall deployment, and we're continuing to make progress with our OEM partners on deploying the various different platforms that use our silicon.
Harlan Sur: Great, and then my final question. I think it was Patrick, you mentioned the move in DBS ODU from analog to digital. I know the team basically owns the analog market in this segment. Your competition has been introducing several products to go after the digital ODU market. How do you think about Entropic's market share prospects as the market moves to digital, and in what time frame do you expect this transition to happen?
Patrick C. Henry: Yes. First off, I think as the market moves to digital, it's a much larger broader-based opportunity than what we've had historically with analog CSS. So although analog CSS has been a great business for us, especially at DIRECTV, and then we won international designs, and we continue to win designs based on analog CSS, we think digital provides us a pretty big opportunity globally. We think we're going to maintain our market leadership in that position. We've done the acquisition of PLX's digital CSS product. Some of the technologies that we've acquired from Mobius are also applicable to those markets in addition to other markets. So we feel like, based on feedback from customers, we're in a very strong position to continue to be a leader in the overall satellite outdoor unit market for years to come. The initial transition to digital, although on a smaller basis, is going to be late next year. I think the more broad-based transition happens in late '15 and 2016.
Operator: The next question is from the line of Gary Mobley from Benchmark.
Gary W. Mobley: In those comments, I think you mentioned in addition to the Xi3 Comcast box, there being some additional design wins for a bundled MoCA and SoC solution. I was hoping you could share some additional detail regarding that. Are those with some of your traditional Tier 1 pay-TV service providers? And what is compelling these service providers and the box suppliers to go with a bundled solution to where in recent history they demonstrated a pattern of going with an integrated SoC solution?
Patrick C. Henry: Yes. I think the broader kind of -- we can't talk about specific end customers until they give us an opportunity to talk about that. But I think the general trend is based on, first off, leveraging what we've done with Comcast around RDK. We've got very proven solutions, both in terms of silicon and software as other cable and MSOs move in that direction, we've got very strong solutions to deploying that kind of RDK ecosystem. More broadly, there's just a desire for diversity of silicon supply, and we've been fortunate enough to have the right pieces necessary, both on the MoCA and the SoC side, to win some significant designs. And the customers are giving us some grace and allowing us to get back in the market with a belief that now that both the MoCA and the SoC are under one roof, that the integrated solutions are on the way. So we're getting kind of the road paved for us with some additional design wins based on bundled solutions that will eventually move to integrated solutions.
Gary W. Mobley: Okay. How would you characterize your MoCA market share right now? Do you think it's bottomed, for the most part, now that most of your pay-TV service provider customers have gone with an integrated solution for set-top box designs?
Patrick C. Henry: Yes. I mean, we're pretty much sharing the market right now with Broadcom, and ST is a third player that has a smaller amount of market share. So I don't know the exact numbers, but we're in the mid to high, kind of mid-40s probably, and Broadcom's kind of in the mid-40s, and ST has the balance. So there have been other companies that have said they have -- they're in the market, but we really haven't seen them in any kind of volume yet. Most of the design win activity that we're seeing is going on around MoCA 2, and we're clearly in a leadership position there. I think Broadcom will definitely get there, and there's others that are lagging. So I think we're -- we continue to be in a strong position. And as we launch and ramp bundled design wins, we have an opportunity to regain market share in the set-top box part of the business.
Gary W. Mobley: Okay, last question for me. Do you think the -- much of the impact from DIRECTV changing the way it manages its inventory is behind you now or are we still dealing with that in the fourth quarter?
Patrick C. Henry: We think it's pretty much in the rearview mirror at this point. So we've seen a return on our DBS ODU business there. The MoCA business didn't return as we kind of anticipated because there was some share loss with the move to the Genie platform on a more broad basis. But yes, the specific inventory stuff is pretty much behind us.
Operator: The next question is from the line of Ruben Roy from Mizuho Securities.
Ruben Roy: Patrick, just a follow-up on the answers to those last 2 questions. And it sounds like this level where we are with revenue is somewhere between $55 million and $60 million we could probably think of as sort of a baseline as we head into 2014. Obviously, there are some seasonal effects potentially on that revenue. But if you do get some of these incremental drivers then that would be growth on this sort of baseline. Is that the way to think about the top line at this point?
Patrick C. Henry: That's the way I'm thinking about it. So I think it's -- we're at a baseline revenue. We've got new design wins, and there's some seasonal softness that might put some headwinds on that. But we're definitely in a position where we've won significant new designs that are ramping. A large amount of the legacy SoC business that we acquired is now kind of eroded down to a very small level. So we shouldn't see the headwinds associated with that. Similarly, kind of MoCA market share is kind of at a level where we feel it's going to be there for the next whatever, year or so, until we start ramping the volume on top of it. So that volume still could start ramping on top of it even in the first half of next year as we get the bundled design win shipping with Comcast, but then we'll see a more substantial piece of that as we get bundled design wins ramping with other OEMs and other pay-TV service providers.
Ruben Roy: Okay. And then, Dave, a couple for you then. If you do get some of these new designs to ramp at Comcast and in the second half with the bundled solutions, are there any meaningful impacts to gross margin, do you think?
David Lyle: It really depends on how fast some of these ramps are, but I do think that staying -- we've been kind of above our long-term model of 50% to 52%. As we ramp these and start getting some scale out of our revenues, we'll head down towards into that range. But in the meantime, I think, this 50% -- 52% to 53% range is, in the short term, at least, where we're at.
Ruben Roy: Okay. And just a final question around the OpEx commentary that you made. It sounded to me like you're saying the first half of the year is when you're going to do some of these 28-nanometer tapeouts, I guess, and so we should be thinking sort of a pretty incremental rise in OpEx, and then that levels off as you get into the second half of the year. Is that right?
David Lyle: Yes. I think that's a good characterization. We're also, in the first half, going to, aside from the tapeouts, of course, going to get out FICA tax reset, which has some impact to the upside of OpEx, as well as some of the other typical things with annual merits that happen in Q2, resets of the annual bonus accrual. So we'll have -- we will see the first half a little heavier on OpEx.
Operator: The next question is from the line of Hamed Khorsand of BWS Financial.
Hamed Khorsand: I'm just trying to figure out, going through my notes from the last call. What really happened this quarter from a progress standpoint? I mean, it seems like we're in a holding pattern for another quarter or 2 from the commentary of both calls, or am I mistaken there?
Patrick C. Henry: Well, I think the difference between this quarter and last quarter is we are seeing a little bit earlier return of HD-DTAs. We are seeing kind of the DIRECTV stuff being in the rearview mirror in terms of the inventory issues. We haven't seen a substantial ramp in the Comcast business yet, although we've seen initial orders. So as we get into the early part of next year, we'll see that continuing to ramp. We have some seasonality in the first half. The thing that -- it doesn't show up in the top line immediately is the design win progress that we're making. And we've made some substantial design win progress over the last quarter as it relates to other end customers, other pay-TV service providers outside of Comcast with our bundled design wins. I think the other thing where we're continuing to make progress is on the new product development front, and we're continuing to march down that path with integrated products, and we're on track there.
Hamed Khorsand: And given the timing of when these new design wins are supposed to get implemented, what's the risk of facing competition here, just splitting the supplying to those carriers?
Patrick C. Henry: Well, I think we're going to see competition, but we're moving in the kind of bundled MoCA plus SoC space from 0 market share to something substantially larger than that. So we're actually going to be able to take market share from competition. But yes, we'll share the business with competition as that starts to ramp. No question about it.
Hamed Khorsand: And where do you think your market share is now in MoCA?
Patrick C. Henry: I think we just covered that, earlier in the call, we're probably kind of in the mid-40s, and Broadcom's kind of similar and ST has the balance.
Hamed Khorsand: Okay. But your commentary was a little bit more negative as far as market share loss. How are you getting at the 40% figure?
Patrick C. Henry: Well, we're counting up the amount that's out there and figuring out how much we're shipping versus what we think everybody else is shipping. So we think we're in that kind of range.
Operator: [Operator Instructions] And our next question comes from the line of Philip Lee of Lazard Capital Markets.
Philip Lee: Patrick, a question for you. The integrated set-top box, I guess, is set to sample end of this year, and is this on track for a second half '14 revenue impact? And if so, how much of the integrated set-top box will replace bundled revenue and how much will be new business?
Patrick C. Henry: Well, the integrated product, if we do revenue next year, it's going to be very modest and very tail end of the year. We're currently going through our annual operating plan for '14 right now. We've got some real modest revenue in Q4, but it's more of a 2015 revenue driver. We do think it's a market expansion opportunity although it does replace some bundled solutions over time. So it's -- on a net-net basis, it will be additive. The more -- even more significant part of that though is that it's allowing us to address a broader base set of markets not only with the first product, but with the derivative products that we get off of that. So we're going to have a much more substantial product line. And we've really had to rebuild because of underinvestment by Trident. So I think it's going to be very competitive 28-nanometer, very power efficient, highly integrated, not only with MoCA but some of the other things that we're doing. So as we get into mid '14 from a design win standpoint and into '15 from a shipment standpoint, I think we're going to be much more strongly positioned than we have been up to this point.
Philip Lee: Great. And just some clarification around the HD-DTA being pulled forward. So this is only at one customer. Is there any change to the status of the other customers?
Patrick C. Henry: No, not at this point.
Operator: Your next question is from the line of Blayne Curtis from Barclays.
Mark Kelley: This is Mark Kelley on for Blayne. The first question is just about gross margins in terms of bundled versus integrated. I know we're still a little way out from seeing revenue for the integrated solution, but how should we think about as we start to look at 2015 numbers?
David Lyle: Did you say 2015 numbers?
Mark Kelley: Yes.
David Lyle: Yes. Well I...
Mark Kelley: I know you don't want to guide, but I guess, maybe just a general update.
David Lyle: I think the integrated products are all 28-nanometer, so they're optimized for not only performance, but also cost and power. And so we've designed them to try to help us get into the long-term gross margin target, which is 50% to 52%.
Mark Kelley: Okay, that's helpful. And then with the buyback announcement, do you guys have a timeline that you would be willing to share in terms of getting back to profitability with that in mind?
David Lyle: Well, the buyback doesn't have a lot to do with the profitability, but we do look at it as a signal of confidence that -- in the long-term strategy. And that confidence has increased, hence, the stock buyback. In terms of profitability, we think we can get to profitability with the existing pipeline of designs that we have today, and feel pretty good about that. We haven't specified a time frame, obviously, because we only guide one quarter out.
Operator: Next question is from Krishna Shankar of Roth Capital.
Krishna Shankar: Yes. Dave, I missed the revenue guidance for the December quarter. Can you just quickly mention what your revenue outlook is for the December quarter?
David Lyle: $57 million to $59 million.
Krishna Shankar: Okay. And you did mention that you've seen some pick up in HD-DTA adapters. Is this with the -- can you give us some sense for where you're seeing the pick up? Is it with Comcast or some of the other cable providers? Can you give us some sense for the DTA business pick up?
David Lyle: Yes. We haven't specified. There were several, though, that had delays from the last call, and we expected those -- some of those delays to recover in the Q1 time frame, Q2 time frame. So this is a quarter earlier.
Krishna Shankar: Okay. And when will some of these international design wins you have in China, South America and Europe, when will they start to contribute to revenues?
Patrick C. Henry: We're seeing initial contribution now, and those will continue to ramp throughout '14.
David Lyle: Yes, they're small contributors today as they typically do with all of these deployments. They go slow before they go fast. And so we think as that -- those markets start to change and head towards HD, IP video, et cetera, we think we're going to see the same kind of acceleration over time that we're seeing in North America. But it's going to take some time.
Operator: Next question is from Anthony Stoss with Craig-Hallum.
Anthony J. Stoss: Patrick, part of the reason why I think you bought Mobius was to use their technology to speed up your development of next-gen products and have a competitive advantage. I'd love to hear if it's living up to your expectation so far, and any color you can provide on how helpful that acquisition has been.
Patrick C. Henry: Yes. We're continuing to make progress on new product development. There are some capabilities they have in terms of very high performance, low-power mix signal technology that's applicable not only to next-generation digital CSS, but also to Full-Band Capture solutions in the SoC market. And we don't have any products to announce on the phone today, but we're making excellent progress on the product road map that we've designed there.
Operator: Your next question is from Alex Gauna of JMP Securities.
Alex Gauna: Patrick, you mentioned earlier about your integrated product having a 2015-type of time horizon. Can you give us an idea of the kind of feature sets that the operators are looking for, for that product line? What needs to be integrated, what doesn't, and how you differentiate yourself? I mean, I think we're talking about a 4K world, right, in that horizon and maybe some of the other parameters that would differentiate the product.
Patrick C. Henry: Yes. I mean, it's a broad set of things. I mean, the initial opportunity is in volume on clients and on non-DVR set-top boxes is really around HD and HEVC, possibly with up scaling to 4K p24, 4K p30. That's the initial stuff that we're getting out, and then eventually we'll move to true full-blown 4K p60 decode. But obviously, high level of integration including a Full-Band Capture support for all the next-generation conditional access systems, MoCA integration in some cases, high performance at low cost and low power becoming increasingly more important. So there's not a point solution. I mean, it's a portfolio of products, but we're able to leverage off of what we're doing on the initial platform. And since it's all going to be on 28-nanometer, we get significant reuse as we go to a variety of different products.
Alex Gauna: And of these features and capabilities you just mentioned, are there areas where you have particularly strong IP or you're leveraging a head start that make you feel well positioned for that time horizon?
Patrick C. Henry: Well, I mean, we have working solutions in the existing pay-TV service provider deployments. In some cases, we've gotten design out of those. But we have the software necessary, including all the different middlewares, the conditional access systems, the demodulators, the decoders, basically everything that's necessary in a proven set of solutions that we're now just moving that technical capability to 28-nanometer and providing the higher level of integration. So yes, will Broadcom be there, as well? Absolutely. They're going to be a key competitor, but will there be other people that can compete with us and Broadcom, not as likely. I mean, ST in some special cases, especially outside the U.S., where we feel like we have a very strong competitive position versus most competition. And even against Broadcom, we've made a faster transition to ARM versus their MIPS architecture, which has some advantages with some customers.
Alex Gauna: And how does Intel and what their aspirations in this space fit into all of this?
Patrick C. Henry: Intel is a key partner of ours. They're one of the 2 market leaders out there in DOCSIS 3. So on the cable gateway market, they continue to be a key partner for us. They have a much stronger competitive position on the server gateway part of the market, where we have a much stronger market position on the client and zapper kind of non-DVR set-top box portion of the market. So they're a great partner of ours, and we continue to work very closely with them on a number of opportunities.
Operator: We have no more questions in queue. I will now turn the conference back to Ms. Debbie Hart for closing remarks.
Debra Hart: Thank you, Dalou, and thank you to all of you for joining us today. Feel free to contact me with any follow-up questions you have, and have a good evening.
Operator: Thank you, ladies and gentlemen for your participation in today's conference call. You may now disconnect.